Operator: Greetings, and welcome to the Huntsman Corporation First Quarter 2022 Earnings Call. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the call over to Ivan Marcuse, Vice President of Investor Relations. Thank you. You may begin.
Ivan Marcuse: Thank you, Darryl, and good morning, everyone. Welcome to Huntsman's First Quarter '22 Earnings Call. Joining us on the call today are Peter Huntsman, Chairman, CEO and President; and Phil Lister, Executive Vice President and CFO.  This morning, before the market opened, we released our earnings for the first quarter '22 via press release and posted to our website, huntsman.com. We also posted a set of slides on the site which we will use on the call this morning while presenting our results. During the call, we may make statements about our projections or expectations for the future. All such statements are forward-looking statements. And while they reflect our current expectations, they involve risks and uncertainties that are not guarantees of future performance. You should review our filings with the SEC for more information regarding the factors that could cause actual results to differ materially from these projections or expectations. We do not plan on publicly updating or revising any forward-looking statements during the quarter. We will also refer to non-GAAP financial measures, such as adjusted EBITDA, adjusted net income and free cash flow. You can find reconciliations to the most directly comparable GAAP financial measures in our earnings release, which is posted on our website, huntsman.com. I'll now turn the call over to Peter Huntsman, our Chairman, CEO and President.
Peter Huntsman: Ivan, thank you very much. Good morning, everyone, and thank you for joining us. Let's turn to Slide #5. Adjusted EBITDA for our Polyurethanes division in the first quarter was $224 million compared to $207 million over a year ago, an 8% increase. Revenues grew 30%, primarily due to the price increases that we implemented to offset significant inflationary feedstocks and logistics costs. Our volumes improved 4% year-on-year.  Compared to the first quarter of 2021, volumes growth in the Americas region was 7%, followed by Asia at 4% and Europe at 2%. We expect the Americas to remain our strongest region, driven by construction-related markets as well as overall economic strength.  In Europe, we're closely monitoring the impact of the war in Ukraine and on the broader economy. While visibility in this regard is difficult, to date, we still see stable demand driven by construction and adhesives in coatings markets. In Asia, specifically China, we expect to be negatively impacted in the near term from the government-mandated lockdowns as the country attempts to control COVID. Despite continued logistics and supply issues, our Huntsman Building Solutions platform recorded its first quarter revenues of approximately $160 million, nearly 50% above the prior year, primarily due to a strong pricing actions. Consumer sustainability trends, combined with high global energy prices remain clear tailwinds for HBS and strategically, we will continue to up value our polymeric MDI in the spray foam insulation systems. Our polyurethanes to automotive platform continue to be impacted by the global chip shortage and supply chain issues. However, for the first time in several quarters, we delivered year-over-year growth. This growth was due to modestly improving trends, favorable year-over-year comparisons and continued product substitutions. Revenues increased 18% with volume increases at 4% year-over-year. We will continue to invest in our automotive platform and bring innovative solutions to our customers. Our third global platform is our elastomers business, which includes both industrial and consumer segments. We continue to implement price increases to offset inflation and overall revenue climbed 28% versus the first quarter of 2021. The industrial markets remain the strongest sources of value and demand for this business with good growth in the Americas. We've chosen to deselect some footwear-related revenues in Asia where we do not believe value is being achieved in a highly inflationary environment. Our value over volume approach remains core to our strategy for polyurethanes and this intent will drive our decisions on how and where we invest and also where we choose to supply both geographically and by end market. The new MDI splitter in Geismar, Louisiana, which is one of our strategic investments that will allow further upgrade to our Americas portfolio will be completed in June and will begin to contribute to result in the second half of this year. As we disclosed previously, once fully up and running, we expect this project to add an incremental $45 million of annual EBITDA to the division results by 2024. As we told you this last year at our Investor Day, equity earnings from our PO/MTBE joint venture with Sinopec in China declined in the first quarter compared to a year ago due to lower propylene oxide margins. The joint venture contributed approximately $12 million in equity earnings for the quarter, below the $35 million reported a year ago. We still expect equity earnings to be approximately $50 million lower in 2022 versus 2021. Raw material inflation remains a challenge though through our pricing efforts, we were able to offset more than $250 million in direct costs when compared to the first quarter of 2021. About half of this inflation in costs were in Europe where we implemented surcharges and price increases in order to overcome these headwinds. We expect costs to increase in the second quarter over the first quarter but believe we will be able to offset these costs through our pricing initiatives. In addition to our focus on upgrading our margins by driving molecules into higher value-added margins and products, we are focused on optimizing our cost structure in this division to further improve margins. We delivered in excess of $40 million from our first phase of cost optimization and synergies in polyurethanes, and we are in the process of concluding our plans for the next phase. We will provide details in our second quarter earnings call and expect to deliver a $60 million run rate by the end of 2023 as targeted at our Investor Day. Looking into the second quarter, we're watching closely at all of the challenges that the global economy is facing such as military conflict, COVID lockdowns in China, cost inflation and continued supply chain disruptions. Despite these challenges, while visibility is difficult, particularly in China and Europe, near-term trends in the second quarter remain relatively stable with the first quarter. As a result, we expect polyurethane second quarter adjusted EBITDA to be in the range of $210 million to $230 million. Let's turn to Slide #6. Performance Products reported adjusted EBITDA of $146 million for the first quarter with a 57% increase in revenues and adjusted EBITDA margins rising to 30%. This margin is above our target range of 20% to 25%, with both amines and maleic, delivering strong performance. Over time, we do expect some moderation in certain amine products in Asia primarily into the renewable energy wind market. We are confident that the supply and the demand dynamics in performance products remain favorable in the medium to long term. In addition, with our commercial excellence program and focus on cost controls, this division should continue to deliver high adjusted EBITDA margins clearly in excess of 20% for the foreseeable future. Volumes increased 2% compared to the prior year period. Demand fundamentals in coatings and adhesives, construction, composites, fuel additives and other industrial markets are benefiting both our maleic and amines businesses. We saw profitability improve year-on-year in all 3 regions as well as sequentially compared to the fourth quarter. Throughout all our divisions, we are focused on value over volume and performance products is no different. This will continue to be the case as we make targeted organic investments. We have absorbed over $80 million in year-on-year cost increases, expanding margins where possible and have remained extremely disciplined commercially. As we have said before, this is now a very different division than the one we formally ran before the $2 billion divestment to Indorama in early 2020. Last year, we announced targeted capital investments in polyurethane catalysts and differentiated chemicals, serving the electronic vehicle, semiconductor and insulation markets. These projects continue to move forward and will remain on schedule to be completed on time. We expect all of these projects to contribute to results in 2023 and deliver more than $35 million of EBITDA benefits in 2024. We've said multiple times, we would be highly interested in doing bolt-on acquisitions in performance products, but these opportunities tend to be few and far between. As a result, in the near term, we will stay disciplined and remain focused on organic investments in order to expand this business. The second quarter for Performance Products tends to be similar to the first quarter. However, we do expect to see some impact in volumes in China as a result of the COVID lockdowns in that country. We currently expect Performance Products to report a second quarter adjusted EBITDA of $130 million to $140 million. Let's turn to Slide #7. Advanced Materials reported adjusted EBITDA of $67 million in the quarter, significantly above last year's first quarter and the strongest quarter in the division's history. We achieved 20% adjusted EBITDA margins with an extremely disciplined approach to value over volume and all despite aerospace results remaining well below prepandemic levels. On a per unit variable contribution margin basis, Advanced Materials delivered a 50% improvement compared to the first quarter of last year and crucially, a further 15% improvement since quarter 4 despite further raw material escalations. We are deselecting lower-margin business while increasing our exposure to higher value sales where possible. In addition, the recent acquisition of Gabriel and CVC are contributing strongly with a combined annualized run rate of $80 million adjusted EBITDA in quarter 1 and above our average adjusted EBITDA margins as we execute on pricing and synergies.  Revenues increased 21% compared to quarter 1 of 2021 and 6% versus quarter 4. Prices increased 34% compared to quarter 1 2021, while volumes were down 17% in the quarter versus the prior year and 5% sequentially. The majority of the reduction volume was a conscious decision to exit commodity BLR manufacturing in the U.S., in line with our stated strategy. Raw material availability shortages, soft demand in Latin America and implementation of our value over volume strategy somewhat curtailed volumes across our business, particularly in automotive, which declined 15% compared to the prior year, though we're relatively flat versus the fourth quarter. We did see growth in general industrial markets. Our aerospace business saw a significant uplift over last year's depressed quarter 1 and a meaningful sequential increase in profitability. Aerospace is currently trending towards an approximately 40% improvement compared to 2021, which would leave us at approximately $30 million of adjusted EBITDA short of prepandemic levels. The fundamentals of this industry remained strong, and we expect to see continued improvements over the next couple of years as we get back to prepandemic levels. At this time, we still see stable underlying demand for many of our core specialty businesses in the Americas and Europe and continue to see increased prices to offset inflation. We do expect that the COVID-related restrictions in China will have a modest impact on advanced material results in the second quarter. We expect adjusted EBITDA for this segment in the second quarter to be in the range of $62 million to $68 million. Move on to Slide #8. Our Textile Effects division reported an adjusted EBITDA of $28 million for the first quarter which was 12% above the comparable prior year period. This, coupled with a record 14% margin is the strongest first quarter in the history of this business. Overall revenues increased with strong pricing discipline and a focus on our specialty and differentiated sector. We continue to deselect lower-margin business and total volumes declined at 14% and in the quarter, in part due to disruptions caused by the COVID lockdown in China. The first quarter volumes were also impacted by slowdown in the home textile market as imports into the U.S. fell year-over-year. Lastly, volumes were impacted by the recent rise in fiber prices, which caused many of our counters to delay open orders while they renegotiate contracts. Our forward open order patterns for this segment are extremely strong and well above 2021 level. Our continued portfolio focus and market pricing alignment to high -- higher raw material costs supported margin expansion during the quarter. We remain optimistic on the underlying fundamentals of this business and are confident our specialty-oriented portfolio will continue to remain strong and make up a larger percentage of our overall portfolio. As indicated, the order book is robust as comers and global brands look for solutions to reduce waste and increase transparency in the supply chain. We're watching the lockdown situation in China carefully. We currently expect adjusted EBITDA in the second quarter to be between $29 million and $31 million. I'll now turn over time to our Chief Financial Officer, Phil Lister.
Philip Lister: Thank you, Peter. Turning to Slide 9. Adjusted EBITDA increased $116 million to $415 million, a 44% improvement compared to the first quarter of 2021. Sequentially, adjusted EBITDA improved by $66 million or 19%. We were particularly pleased to see a 170 basis point improvement in adjusted EBITDA margins versus the prior year to just over 17%. We delivered this improvement in adjusted EBITDA margins despite cost of sales increasing at an annualized level of approximately $1.5 billion since quarter 1 of last year. In our MDI business alone, we incurred approximately $450 million of annualized year-on-year cost increases primarily in Europe. All divisions improved adjusted EBITDA with our Performance Products division driving the largest portion of the increase, following a 30% margin quarter. On the right side of Slide 9, you can see the output of our value over volume strategy with combined volumes relatively flat for the quarter, but with pricing and positive mix leading to $179 million of profitable improvement.  SG&A and R&D remain under control despite a high inflationary environment with SG&A to sales at 9% in the first quarter. The negative variance in FX and other is driven by lower equity earnings from our China propylene oxide joint venture and the strengthening of the U.S. dollar against the euro by 8% year-over-year. Let's turn to Slide 10. As a reminder, we have targeted an incremental $100 million of cost optimization and synergy savings, bringing a total of $240 million of run rate savings expected by the end of 2023. We have delivered approximately half of this run rate at the end of 2021, and we closed this quarter at an annualized rate of approximately $125 million.  We are in the process of concluding our plans for the next phase of savings, which covers polyurethane's margin enhancement, global business services expansion as well as supply chain optimization. We expect to announce the details in the coming months and discuss in more depth at our next quarterly earnings call. We remain confident that we will meet or exceed the full run rate level of $240 million of savings by the end of 2023. Turning to Slide 11. Net cash provided by operating activities was a positive $85 million in the first quarter compared to an outflow in 2021. Free cash flow was also positive despite over $200 million of working capital inflation as raw materials and energy prices rose significantly in the quarter. Capital expenditures amounted to $69 million for the quarter and we continue to expect approximately $300 million of spend in 2022 as we complete our Geismar MDI splitter investment. Our operating working capital closed at 16% of sales in quarter 1 compared to 18% in the same prior year period. In the second quarter, we do expect additional working capital inflation on the back of further selling price and raw material increases. We remain on track to meet or exceed our 40% free cash flow conversion target in 2022. As a reminder, this target excludes the funds we will receive from Albemarle in the second quarter. We expect to receive a net amount of $78 million from Albemarle in May, bringing the total post-tax benefit to Huntsman from the legal settlement to $410 million.  Our balance sheet remained strong with total liquidity of $2.3 billion and net debt leverage of 0.5x. We received credit rating agency upgrades from S&P to BBB- and from Fitch to BBB during the first quarter, a reflection of our disciplined approach to our balance sheet and capital allocation as well as the strength in our underlying portfolio. We increased our dividend by $0.10 a share or 13% during the first quarter and recorded adjusted earnings per share of $1.19 compared to $0.65 per share in quarter 1 of 2021. We also repurchased approximately 6 million shares for $210 million at an average purchase price of $37.85 during the quarter.  As previously announced, our Board of Directors authorized an increase to our total share repurchase plan to $2 billion. We had approximately $1.7 billion remaining on the plan on March 31, 2022, and expect to repurchase a total of approximately $1 billion of shares in 2022. Based upon our current market capitalization, we expect our total return of capital to shareholders to be approximately 15% in 2022. Peter, back to you.
Peter Huntsman: Thank you, Phil. As we announced the results of our first quarter, it's worth taking a few minutes to remind our shareholders what we presented at our Investor Day in November of this past year. At that time, we outlined a projection that we plan to hit a margin of 17% EBITDA margins in 2022. Our first quarter results hit this objective. We had raw material prices -- excuse me, had the raw material prices been equal to the time when these projections were shown, our first quarter EBITDA margins on a lower cost basis would have exceeded 17%. In short, we're achieving our plan while contending with record high raw material prices and volatility. As we look into the second quarter, we remain optimistic of hitting our EBITDA range of $380 million to $420 million. We still continue to hold a firm view on pricing and passing raw material increases to our customer base across all of our products. We remain focused on 2 principal areas. Number one, we will focus -- we will continue to focus on value over volume. By the end of quarter 2, we'll be operating our MDI splitter at Geismar, Louisiana. This will enable us to take existing commodity-grade MDI and upgrade it to a higher-margin product. It will also allow us to renegotiate more competitive contracts on our existing commodity MDI sales. In our Performance Products, we are on track to complete -- completing upgrades to produce higher value amines and carbonates allowing us to be the sole North American producer of ethylene carbonates for EV batteries, catalysts and semiconductor chips. We continue to see a recovery in our aerospace market as well. This recovery, together with continued synergies and pricing excellence, will assure our Advanced Materials division meets our margin objectives in excess of 20% adjusted EBITDA. Our second major focus is on our cost realignment across all of our divisions and our SG&A. We presented at our Investor Day a goal of $240 million. To date, we've achieved $125 million of value creation. We remain on track both with respect to timing and the $240 million objective. We share the concerns expressed by just about every company with regards to the threat of energy volatility, inflation, consumer spending and the uncertainties between Russia and Ukraine. For this reason, we will maintain a strong balance sheet while focusing on greater than 40% free cash flow. Execute with even greater determine -- with greater determination, our efforts around our cost structure and continue to diversify and upvalue our customer base. We may not be able to anticipate exactly what will impact us in the coming months, but we will remain focused on creating value and on delivering results. With that, operator, we'll open the line now for any questions.
Operator: [Operator Instructions]. Our first question comes from the line of P.J. Juvekar with Citi.
Prashant Juvekar: Peter, can you talk about the aerospace recovery that you mentioned? I know you have exposure to more wide-body planes. And as international travel picks up, what should be the cadence of recovery as these planes are brought back into service?
Peter Huntsman: Well, P.J., very good to hear from you. And as we think about that recovery, let me just kind of go back to -- in our aerospace -- Ad Mat aerospace, we were at about a $90 million run rate pre-COVID. And I would say that we kind of hit on an annualized basis during the depths of COVID, say, a $40 million EBITDA level or dropping about $50 million. I think that it's fair to say that we're probably about halfway through that recovery, probably up at this point of about a $60 million run rate, up $20 million from the bottom, still 60% to go. And that is to get us to where we were pre-COVID. Now we've qualified and are in the process of qualifying for additional applications with some newer models and so forth that are coming on. But simply put, just for the remaining $30 million to get us back to that pre-COVID level is going to depend on the orders largely around wide-body aircraft as you rightly said. And that's going to be driven by both demand and fuel efficiency. So one of the areas we're typically in high energy costs, we see improvements in areas like energy conservation, spray foam, insulation and so forth. We also see airlines that are ordering more fuel-efficient aircraft. And as you think about more fuel-efficient aircraft, you're going to see the retirement -- it's a number of airlines we've already done around the 380 Airbus and the 747 Boeing, and you'll see those replaced by the 350 and the 787 Boeing and Airbus models. And so I think what we're seeing to date is about what we told the market that this would be a 2- to 3-year sort of recovery. And I think that we're probably about halfway through that, and we'll probably see a more fulsome recovery, hopefully, back to that level by the end of next year.
Operator: Our next question comes from the line of Aleksey Yefremov with KeyBanc.
Aleksey Yefremov: Peter, for Performance Products, EBITDA margins were very strong at over 30%. As far as I remember, you were setting long-term goals for the segment at 20% to 25%. Do you feel more optimistic about these long-term targets? Or is there may be an element of cyclical upside in the current margins that may not be sustaining to the future?
Peter Huntsman: I would think that as we are able to execute our pricing excellence and cost structure and so forth. I would tend to lean more to the 25% side than to the 20% side, but I still feel comfortable in that range. Now bear in mind that as we see investments coming into this business, where we're going to see the upgrading of our carbonate, the upgrading of our amines and the upgrading of our customer base and so forth over the course of the 12 to 18 months, I think, that you're probably going to see a 25% margin, perhaps being more standard. There is no doubt today that the business is benefiting from -- I won't say unusually, but it is probably stronger than normal demand in UPS or -- excuse me, UPR. And as we think about that, I think, there's also some fundamental changes that have taken place in the structure of a number of these industries, the number of competitors, their focus, broadening applications. Pricing discipline, all these things across the board. So I would say from where I sit today, that 20% to 25% range when that number was given. I would probably have thought that the normalized would be more towards the lower end of that range. I probably would lean more to the higher end of that range. And over the course of the next year or 2, I would see that gradually improving as we see our products continue to be upgraded.
Operator: Our next question comes from the line of Mike Sison with Wells Fargo.
Michael Sison: Nice start to the year. Peter, you're having a really good first half, $400 million plus in EBITDA roughly each quarter. How should we think about the second half? And I know it's a little bit early to give specific guidance, but can you keep that level going? Or what are the puts and takes for us to think about in sort of modeling the second half? And if any specifics you can give would be great.
Peter Huntsman: Mike, I would -- yes, well, thank you very much. I think that we are in the first quarter kind of where we expect it to be. And I would think that the second half has the potential to be just as strong, perhaps even better than the first half. Now I say that with an enormous caveat, and we pointed this out a couple of times in the call. My short term, my biggest concern is around overall demand. I think that we've done an excellent job in the last couple of quarters being able to push through price increases. And just as we said in the first quarter, we pushed through a $0.25 billion of price increases, not only achieving that increase, but also expanding margins. We saw EBITDA margins on a cent per pound basis go up across the board, again, even after absorbing an enormous amount of raw material inflation of around $375 million -- the $250 million, I'm sorry, that was just in polyurethanes alone. $375 million was for the entire company. As I see the biggest headwinds going into the second half, and again, given what the actions of Russia and in other areas of the economy, these are all subject to change in about 10 minutes from now. But my biggest concern is around overall demand. We may be able to maintain margins. We may be able to push through pricing. We may be able to even expand on margins. But if the overall demand -- the overall tonnage that we're able to sell drops, that would be my biggest concern. And I think short term, the -- what we're seeing in China with the lockdowns if we continue to see the impact of the lockdowns as of today that we're seeing, that will have an impact on our business of upwards around $20 million a month. Again, I believe that when China reopens and when these lockdowns are lifted, I think that we earn that back. I think that you're going to see margins in pricing and demand will boomerang back very quickly. But how long this lasts and if it has the potential to spread to other regions and other metropolitan areas, that's yet to be seen. But that would be my biggest near-term impact on the business to be kind of what's happening in China. Longer term in the second half would be overall demand -- slowdown in demand would impact. There might be with higher interest rates and mortgages and so forth. But fundamentally, when I look at margins, when I look at new applications, when I look at upgrading customers, when I look at cost efficiencies and so forth, I remain quite optimistic for the second half of the year.
Operator: Our next question comes from the line of David Begleiter with Deutsche Bank.
David Begleiter: Peter, just on MDI manufacturing in Europe, can you talk to the competitiveness of that right now by the industry? And do you think your advantage at all having a plant in the Netherlands as opposed to capacity in Germany?
Peter Huntsman: Yes. And David, very good to hear from you. Yes, I think that we are. I think that the Netherlands, we have an excellent arrangement where we are getting a portion of our electricity and power at that site from wind and contracts that we have in this area. Again, I don't want to portray that we're somehow impervious to natural gas supply and price and so forth. But I like our position there. We're in a chemical cluster that is quite independent and quite stand-alone. And to-date, we haven't -- I just don't see a threat again as of what we have seen thus far.  We've heard and read about some of the actions that might be taken if there's a natural gas curtailment going into Germany and the impact that might have on some of the larger sites along the Rhine River and so forth. But again, that may impact us, but it would impact us on quite a 2 or 3 levels removed. And I like our position. I like the demand and the customer base that we see.  We're in the process right now of looking at our entire European footprint and that European footprint, when we look at the European market for us, it includes the Middle East. It includes Africa, it includes India, and we, frankly, we need to look at that entire region. We need to continuously calibrate where we're going to get the best value for the tonnage that we have available. Again, I know I sound like a broken record in saying this, but we're not out trying to move new tonnage. We're out trying to move improved margins, improved tonnage, improved customer applications, and that means that we are going to continuously look at our customer profile and the regions where we do business.  I mentioned on -- in my prepared comments that we pulled out some of our footwear applications and under our TPU business in Southeast Asia. Again, a few years ago, this is a very strategic end of our business. But if we're not going to be able to get pricing, and we're not going to be able to pass through raw material prices, we're not going to be able to increase margins and forth. And get the very best value for that tonnage. We'll move the tonnage somewhere else, and we'll continuously look at where we can grow stronger relations and stronger applications.
Operator: Our next question comes from the line of Kevin McCarthy with Vertical Research Partners.
Kevin McCarthy: Peter, it seems that demand is quite strong across many of your major product lines. So in that context, do you foresee the need to debottleneck or otherwise add capacity moving forward? And related to that, how do you think the capital budget of $300 million this year might trend as your splitter project rolls off?
Peter Huntsman: I'll let -- I'll ask Phil to comment on the capital projects and projections therein. But I would just note that -- I would hope that we are continuously looking at internal projects where we can get an extra 1%, 2%, 3% of excess -- of new capacity efficiencies that proverbial learning curve and efficiencies that we have in any manufacturing process. But aside from some relatively select applications, we're expanding in some of our amines area, where we are going to be adding the capacity to produce more catalysts and so forth. Most of our capital right now, I would say, 75%, 80% of our capital that's been spent in the last year and will be spent over the course of the next 6 to 18 months, it's going to be spent on upgrading our capacity, taking our carbonate today and moving them into EVs, taking our amines and moving them into ultra-peer applications into semiconductor chips. And so we're taking our commodity MDI North America and moving it out of some of those more traditional commoditized applications and moving it more into automotive and moving it into further downstream applications. And I think that, again, that focus on value. And I think that as we look at the overall multiple of our company and we look at the value that the market puts on our EBITDA and the cash that's generated we need to have higher margins. We need to have greater reliability and greater consistency of those earnings. And we've set that out now for the last 2 years or so, and we intend to do just that. And a lot of those investments that we started a couple of years back, such as the MDI splitter in Geismar, Louisiana are coming to fruition, and we'll be seeing a full impact of those. And I would just remind you that many of those decisions as well as we move from one market, we upgrade going into another market, we see really dual benefits here. We see the benefit of tonnage that moves into a new higher value-added market. And we also see that as we exit other markets, perhaps some of those customers are valuing a little bit more than we had thought they had in the past. It's an opportunity for us to renegotiate contracts and to look where we can offer a higher margin because that tonnage is either going to have to -- have a higher margin or we'll simply upgrade it and move to greener pastures, if you will. So it's -- I think there's a dual benefit that comes since we talk about the benefits of project Patriot, we've been saying that it's a $45 million benefit. And that $45 million really comes about through the upgrade on the back end moving into differentiated markets. It does not account for the benefit that we've already seen. And a lot of our markets are being able to negotiate better pull-through contracts and longer-term agreements and so forth.  Phil, do you want to comment on the working capital?
Philip Lister: Yes. Kevin, so we spent $342 million last year on CapEx. We'll be down this year at approximately $300 million. That's a good number to model on outwards, about 3% to 4% of our overall sales. And we said, we'll be very disciplined, devoting approximately 60% of that capital to growth capital. The 3 performance product projects, which we've talked about, are incredibly important. Those amount to about $150 million of spend over the '22 and '23 time period. And there's a number of targeted investments that we can continue to make in order to grow the business effectively. But I'd use for modeling purposes, approximately $300 million per annum going out.
Operator: Our next question comes from the line of Angel Castillo with Morgan Stanley.
Angel Castillo: Peter, I was hoping you could give us a little bit more color on the Performance Products segment, maybe parse that out a little bit more. You talked about the UPR perhaps benefiting from some demand, but as we look at volumes, there haven't been anything crazy. So it seems like, as you talked about maybe more value over volume, that's part of it. But maybe if you could just parse out what are some of the -- maybe quantify and then what are some of the other buckets that are helping and maybe driving some of the strength. And within that, as we think about the maleic process, I believe that's kind of an energy producing process and generate some steam and power that you can benefit from. Could you quantify that as well if that's part of the benefit as well.
Peter Huntsman: Yes. Angel, it's a great question. I think when we think about the steam and the benefit of that, I wouldn't think that, that's material to the business. It certainly helps us when we're in an environment of higher energy prices because we're able to get a credit something akin to natural gas prices.  And so we're in a high-priced natural gas environment as we presently are in Europe, we will see benefit from that. But I wouldn't say that, that's a material benefit to the business. As we think about those downstream applications, this is a business that has largely looked at moving molecules in the past, and we were using our amines business, among other things, to move the ethylene oxide, propylene oxide, move to some of the major raw materials that we were producing within the company. Now that we're kind of unhitched from that, if you will, it's really looking at value, looking at fuel additives, how do we make gasolines cleaner, how do you make them more environmentally efficient. We're looking at the purity of our amines products and continuously upgrade that is to think of the solvents that are used in the semiconductor and the chip manufacturing. The cleaner that the chips are when you're getting down to parts per billion on cleanliness and so forth, the more efficiency that you're going to get from the chips and the greater throughput you'll be able to get on a per chip basis.  Electronic vehicles and the application going into the electronic vehicles is something that continues to be a real focus of an area of growth for us. Like I said, by this next year, we'll be the only North American producer of high-purity carbonates, which is the raw material that goes into the electrolytes that connects your anodes and cathodes charge within a battery. As you look at some of the broader applications that we see in the amines sector as well going into replacing traditional solvents replacing applications, your curing agents going into the wind industry. This, in China, particularly continues to be a very strong demand for the business. And I think that as you look at the -- these greener trends that will continue, you're going to continue to see strong demand in that wind and that power area. Another area that we're seeing strong demand in the amines area is use of a catalyst among other large customers that we're seeing growing very well and have high expectations going into the future. It's going to be around the polyurethane catalyst and the spray foam business. We supply some of the catalysts that are going into the spray foam industry into the Huntsman Building Solutions segments come from the Huntsman Performance Products section. And those are all transferred to the market price because we're able to buy those -- some of those same products from another competitor. So we know what that market is. And we think that's going to be a very strong and growing market for the business. A matter that's why we have, in part, why we have some of the investment that's going on at Petfurdo, Hungary. We just supply some of the international applications and even some of the domestic applications we have in that polyurethane catalyst business. So I can go on, but I probably put some of you to sleep. But it continues to be a very wide and diversified end-use application for us that we're going to just keep relentlessly pushing as far as how do we make a better product, a more pure product and how do we make a product that's more valuable to the company.
Operator: Our next question comes from the line of Frank Mitsch with Fermium Research.
Frank Mitsch: Yes, and certainly would never doze off, Peter. I understand that you guys may have been pretty busy during the first quarter, but the strategic review of the Textile Effects business was supposed to begin in earnest early in the first quarter. So I was just wondering where that stands? And if you have any updated thoughts on that?
Peter Huntsman: Frank, I'd never expect you to dose off not this early in the morning. Any time after 6:00 p.m., I might expect that, but that might be a company with some libation and so forth. Anyway, yes, as we think about that process right now. I think it's -- look, we're in the kind of that phase where you can acknowledge that you're moving forward. I don't think that we want to get into any more detail that would get us in trouble or perhaps raise or lower expectations on one side or the other. And fair to say that we have multiple interested parties, and we're moving along at a pace that we set and we outlined to the market a few months ago, and we remain on that track right now. I don't see that having done any slower or it's proceeding about exactly as we had expected it to.
Operator: Our next question comes from the line of Matthew DeYoe with Bank of America.
Matthew DeYoe: Can you talk a little bit about the revenue deselection in Advanced Materials and how you're able to grow earnings in a backdrop where volumes were down like 17% year-over-year?
Peter Huntsman: Well, it's by focusing on that value over volume and where we have products where we don't add significant margin products that are in the basic liquid resins where we're basically taking someone else's epichlorohydrin or someone else's chlorine or raw materials, and then we're merely blending products together and not adding a great deal of chemistry or know-how or customer intimacy or service to that. That's just frankly not an end of the business that we choose to be in. So I would remind some people that are trying to model the Advanced Material business, we've said this in the past that when you focus on the core of the business and as you focus on the growth end of the business, this business, you see one end of the business where we're literally shrinking the business and exiting the business and we have another end of the business that is growing much better than what we're seeing right now on a GDP basis. So within Advanced Materials, you're going to see better than GDP growth in the core end of the business. And in the other end of the business, where you see some of the lower-margin coatings and some of the lower margin applications where we're kind of in there slugging it out with a dozen other companies, same products and applications and so forth. We'll continue to deselect from those. And where we have opportunities to move those molecules somewhere else, we will. And if we can't move the molecule somewhere else, then we'll exit them.
Operator: Our next question comes from the line of Josh Spector with UBS.
Joshua Spector: I think, Peter, if I heard you right, you talked about polyurethane, Auto's market demand was up maybe a low to mid-single-digit percent year-over-year that seems to outperform unit sales or unit production in Autos pretty nicely. Just wondering if you could differentiate between how much of that is linked with unit demand, maybe if there's some inventory effect, which helped the quarter or really how much of that is a substitution effect that you referred to?
Peter Huntsman: I think a lot of that really has to do with substitution of other products. And I think that as we also see a lot of the growth in our higher-end applications, such as Tesla applications. As we've said in the past, we've won the seating contest, the seating applications, I should say, for Tesla in China. We're in the process right now of working for applications -- working for qualifications and applications for other vehicles as well. But we throw EVs around quite a bit in these calls. But this is something I think that when we focus on the battery, we focus on the insulation, the sound of the car. We focus on the seating and the lightweighting of the vehicle. I think that we're uniquely positioned in all of these areas to be able to really add value, and we're going to continue to do that.  So the higher-end automobile segment continues to do quite well for us. And I hope that we're able to do better than what you would see if the overall car industry is seeing 0 growth, I hope that we're seeing something slightly better than that.
Operator: Our next question comes from the line of Laurence Alexander with Jefferies.
Daniel Rizzo: It's Dan Rizzo on for Laurence. Given how tight the market is, would you co-invest in the greenfield and MDI plant to look back in market share and downstream chemistries longer term?
Peter Huntsman: I mean, look, I'd never say never. I'd have to be up to be a really compelling case to go to a greenfield. When I look at potentially expanding to add a line or increase in existing capacity with a customer or a partner or something like that, perhaps. But I think right now to take $1.5 billion, $2 billion for a greenfield. When I talk about a greenfield, I'm referring to a brand-new facility, scrape the earth, you're building a brand-new site, you're starting with nitrobenzene, going to aniline, going to MDI, going to variants and splitting and so forth. You're looking at a world-scale basis of 400-plus ton facility, you're looking at $1.5 billion to $2 billion. And you're looking at 7 to 8 years to build that. If I were to take $2 billion and just buy in shares at our market cap today, you're kind of looking at a 25% improvement in our stock price if nothing happens on multiples or anything else over the course of the next year or 2 versus over the course of the next 8 years, investing in a facility that when it comes on stream, who knows where the markets are going to be and I just kind of look at that from my conversations with shareholders and just kind of looking at the numbers, I'd be very hard-pressed to see us actively pursue -- aggressively pursue a greenfield investment in an MDI plant. Again, please don't interpret that we're not dedicated to the business. We're not looking to invest in opportunities in MDI. I just think -- I'd rather see us put $100 million, $200 million over the next couple of years into downstream spray foam and upgrading our MDI and looking at those downstream applications and moving into those applications and producing more MDI.
Operator: Our next question comes from the line of Mike Harrison with Seaport Research Partners.
Michael Harrison: Wanted to ask -- get a little bit more color on the Geismar splitter really. What does that start-up process look like between now and June? And can you walk us through the P&L impact on your EBITDA this year? Should we think that there are maybe some costs coming in on the front end and then we ramp gradually toward that $45 million annual EBITDA contribution. And if you could maybe also comment, are customers already in place for the upgraded product coming out of the splitter or is it going to take some time to sell this new material through?
Peter Huntsman: Well, I think that when you look at it, you'll be seeing -- we operate one of these same sort of facilities in China and also in Europe. So this isn't going to be something that takes us 6 months to start up and we're trying to learn how to operate this. I would hope that we'd have a very quick startup. What will take time here is actually qualifying new products from a new facility going into our customers. Now again, we've been feeding some of the market -- seeding some of the market with products coming out of Asia and Europe. And so as we think of the second half of this year, I would think that it should be around a $10 million to $15 million benefit. As we think of next year, you're probably looking at $35 million, $40 million-ish. And then by 2020, you're running it at a full on run rate. So I mean it will be gradual, just from the qualifying and from the supply sort of a period. But we're not going out and just starting to hit the market on a sales once we start up with this process. We've identified the customers and market segments. We've been bringing product over from Europe and from China. And yes, we're going to hit the ground running. I would be a little disappointed if we didn't beat the timing that I just gave you, but I'm also trying to be realistic to the qualifying time the customers and so forth.
Operator: Our next question comes from the line of Matthew Blair with Tudor, Pickering, Holt.
Matthew Blair: I was hoping you could talk about this rising mortgage rate environment in the U.S. and how it might impact housing? And then specifically, do you think there would be like a 1-for-1 hit if housing slowed down to your polyurethane segment? Or are there ways that you would be insulated from any sort of housing downturn?
Peter Huntsman: Yes. So when you think about North American residential, think about 10% of our polyurethanes of our overall business that we have. About 10% of our U.S. -- of our overall business is U.S. residential and think about 2/3 of that is going to be new build and 1/3 of that is going to be retrofit. If you see residential slow on new builds, you're going to see retrofit expand. People decide not to move into a new home, not to buy a new home, not to invest in a new home. They typically will expand in retrofit, their existing home. I want to be absolutely clear, that's not going to be on a one-for-one basis. I'd not rather see a new home be built for the sake of our business and our products than to see a retrofit being done. But at the same time, if you're going to see a new build drop by hypothetically, 10%, you're not going to see a 10% drop in our business. It ought to be mitigated by the improvement that you'll see in the retrofit side.  And other areas that I would say that impacts the North American residential business for us is obviously a very large segment of that is the spray foam business and with higher energy prices and so forth, that continues to do very well for us. We're -- I'd say we're sold out in that business in the sense that we're producing as much as we can still being limited by the availability of some of the blowing agents and catalysts and so forth that we're -- that we need for that business.  We have a backlog in that business of about 5 weeks meaning that if we don't get another order coming in, we're still going to be running that business for the next month plus, just trying to fill the orders that we presently have on book. So as I look at residential, we continue to see strong demand in our building applications, building materials and so forth. Again, we have not seen that slowdown, but I can't sit here at the same time and say we don't have a cautious eye in that area. When you look at the number of new home sales, when you look at the number of mortgage applications and building permits and so forth, it does look like there's going to be some volatility in that area. But at the same time, there's also going to be environmental retrofits, upgrades and we'll continue to take market from other products and competing applications. So that's a very important segment for us, and we're going to continue to invest in it. And operator, I think we've got time. We'd like to end at the top of the hour. I will take one more question, and then I think we need to wrap up here.
Operator: Our next question comes from the line of Hassan Ahmed with Alembic Global.
Hassan Ahmed: Just wanted to revisit the European MDI side of things. Obviously, Europe is a pretty large part of the MDI industry. Have you guys seen some reductions in operating rates already over there? And if not, if sort of the current geopolitical situation continues, do you expect to see certain curtailments, operating rate reductions and the like. And again, the only reason I asked this is in light of some of the commentary coming out of BASF a couple of weeks ago.
Peter Huntsman: Yes. I have not read or heard what BASF had to say. Our business right now in Europe, it's obviously not the same size as BASF. But as we look throughout Europe, we continue to be sold out right now. We continue to see strong demand. And again, I don't want to sit here and burry my head in the sand and say that I don't have concerns around raw material and around the possible consumer confidence or lack their other inflationary pressures and so forth. But -- and I thought I'd never hear myself say this, but at $30 gas, which is an exorbitantly high price, it's substantially lower from where it was a month ago, where it was more than double that price. And I think that our Rotterdam cost basis, we're working very hard to make sure that we can put through prices, we can keep demand. We can focus on new applications. And I think that we're -- we continue to do well in Europe. Again, it's the lowest margin end of our MDI business just because of that area of raw material costs. And I wish that wasn't the case, but I think it's probably going to be the case for -- at least for the near future here.
Operator: Thank you. That is all the time we have for questions today. This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.